Operator: Welcome to the Entegris Second Quarter 2025 Earnings Conference Call. [Operator Instructions]. I would now like to turn the call over to Bill Seymour.
Bill Seymour: Good morning, everyone. Earlier today, we announced the financial results for the second quarter of 2025. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties, and actual results could differ materially from those projected in the forward-looking statements. Additional information regarding these risks and uncertainties is contained in our most recent annual report and subsequent quarterly reports that we have filed with the SEC. Please refer to the information on the disclaimer slide in the presentation. On this call, we will also refer to non-GAAP financial measures as defined by the SEC and Regulation G. You can find reconciliation tables in today's news release as well as on our IR page of our website at entegris.com. On the call today are Bertrand Loy, our CEO; and Linda LaGorga, our CFO. With that, I will turn call over to Bertrand.
Bertrand Loy: Thank you, Bill, and good morning, everyone. I am pleased with our performance in the second quarter. Revenue was above our guidance range and was up 2% sequentially. Gross margin and EBITDA margin were within guidance and non-GAAP EPS was at the high end of guidance. Taking a closer look at our quarterly performance by division. Materials Solutions sales were up 4% year-on-year, led by CMP slurries and pads, selective etch and deposition materials, which all delivered double-digit year-on-year growth. This was driven by strong growth in China, strength in HBM and the early positive impact from upcoming node transitions in logic and 3D NAND. Advanced purity solutions sales were down 7% year-on-year, this was largely driven by the anticipated decline in facilities-based CapEx investments, which we spoke about last quarter. This particularly impacted our FOUPs and fluid handling revenue. The year- on-year sales decline was partially offset by modest growth in photoresist and CMP liquid filtration. Next, let me provide an update on our global manufacturing and supply chain strategy and related investments. Our facility in Kaohsiung Taiwan continues to progress. We are on track to complete most of the critical product qualifications by the end of the year and expect to meaningfully ramp volumes in the fourth quarter. Our new Colorado manufacturing site is also on track, with construction and tool installation largely complete. We are planning the grand opening of this facility in November, and we plan to start customer product qualifications and initial volumes later this year. Over the past decade, we have invested in a broad global manufacturing footprint, offering the convenience of redundant manufacturing sites to our customers for all our major strategic product lines. In addition, we have developed well integrated supply chain clusters around our largest regional manufacturing centers. This expanded localization of our production and supply lines close to our global customers, will serve us particularly well during this time of increased trade policy volatility and uncertainty. And over time, will drive several business and financial benefits, including shorter lead times, lower working capital requirements and more secure supply lines. Currently, our Asia customers represent approximately 70% of our total revenue. And as we exit the year, we expect to have approximately 70% of this demand served by our non-U.S. manufacturing sites. And that number will continue to increase as we capitalize on the ramp of the investments recently made in Taiwan, Korea, Japan and Malaysia. On July 17, we opened our new state-of-the-art Korea Technology Center, an opening that also coincided with our 35th year of doing business in Korea. This investment, along with our 3 existing manufacturing sites in Korea will supplement our capabilities and strengthen our engagements with the local DRAM and NAND technology leaders. So we can help them and their ecosystem address yield, reliability and performance challenges. Looking ahead, overall for the industry, the trends are largely unchanged. AI-enabled applications for driving significant growth in advanced logic and HBM even though AI demand only represents a very modest proportion of wafer stops. Elsewhere, fab activity levels remain subdued, especially at many of our mainstream logic and 3D NAND customers. In addition, the uncertainty and volatility around trade policies are expected to continue to have direct and indirect impacts on semiconductor demand and levels of capital spending by the industry at least in the short term. As a result, we expect the semi market will continue to be dynamic and the visibility to a broad-based recovery remains tenuous. That said, we fully expect a stronger second half performance from our business. And looking further ahead, nothing has changed in our long-term view of the industry, we remain very optimistic and continue to have high confidence in our strong long-term growth outlook. Let me now turn the call over to Linda. Linda?
Linda LaGorga: Good morning, and thank you, Bertrand. Our sales in the second quarter of $792 million were down 3% year-over-year and up 2% sequentially. As a reminder, we have now fully lapped the impact of the CMC divestitures. Foreign exchange positively impacted revenue by $5 million year-over-year and $6 million sequentially in Q2. Gross margin on a GAAP basis was 44.4% and 44.6% on a non-GAAP basis in the second quarter, generally in line with our guidance. The sequential decline in gross margin was driven by the anticipated impact from tariffs, our focus on balancing production volumes with inventory management and some operational inefficiencies. Operating expenses on a GAAP basis were $245 million in Q2. Operating expenses on a non-GAAP basis in Q2 were $188 million. Adjusted EBITDA in Q2 was 27.3% of revenue, in line with our guidance. The GAAP tax rate in Q2 was 5% and the non-GAAP tax rate was 13%. GAAP diluted EPS was $0.35 per share in the second quarter. Non-GAAP EPS was $0.66 per share at the high end of our guidance. Sales for Materials Solutions in Q2 were $355 million. Sales were up 4% year-on-year and sequentially, both driven by CMP slurries and pads, selective etch and deposition materials. Adjusted operating margin for MS was 21.3% for the quarter, up year-on-year. Sequentially, the adjusted operating margin decline was primarily due to some operational inefficiencies. Sales for Advanced Purity Solutions in Q2 were $440 million, down 7% year-on-year and up 1% sequentially. The year-on-year sales decrease was driven by the impact of the decline in facilities-based CapEx investments. The modest sales increase sequentially was driven by liquid and gas filtration and FOUPs. Adjusted operating margin for APS was 24.1% for the quarter. The year-on-year and sequential decline in margin was primarily driven by lower volumes. We are continuously looking for ways to optimize our business model and drive further efficiencies in our cost structure. In the second quarter, we implemented cost reduction initiatives, which will deliver $15 million in annual cost savings. Moving on to cash flow. Free cash flow was $79 million in the first half of the year yielding a free cash flow margin of 5%. We continue to expect our free cash flow margin to be in the low double digits in 2025, driven by our stronger second half business performance and our intense focus on optimizing working capital and capital expenditures. A quick overview of our capital structure. Shortly after the end of the second quarter, we paid down $50 million of the term loan from cash on hand. As a result, at the beginning of July, our gross debt was approximately $4 billion and our net debt was approximately $3.7 billion. Gross leverage was 4.3x and net leverage was 4x. Our debt is well structured and derisked. The blended interest rate on the debt portfolio is approximately 5% and currently approximately 95% of our debt is fixed. And there are no maturities on the debt until 2028. And no maintenance covenants on the debt. From a capital allocation standpoint, our single priority remains paying down our debt. And we will use all levers at our disposal to reduce our gross leverage to below 4x. Moving on to our Q3 outlook. We expect our Q3 sales to range from $780 million to $820 million. We expect our gross margin percent to be approximately in line with Q2, both on a GAAP and non-GAAP basis. GAAP operating expenses of $228 million to $232 million, and non-GAAP operating expenses of $182 million to $186 million. We expect EBITDA margin of approximately 27.5%. Net interest expense of approximately $48 million. We expect our non-GAAP tax rate to be approximately 9% in Q3 due to the expiration of a tax reserve. GAAP EPS between $0.43 and $0.50 per share; non-GAAP EPS between $0.68 and $0.75 per share. And we expect depreciation of approximately $51 million. I'll now hand it back over to Bertrand for some closing remarks.
Bertrand Loy: Thank you, Linda. In closing, in this dynamic environment, you can expect us to remain focused on what we control, engaging with our customers and winning critical POR positions in future technology nodes, actively managing our cost structure while making investments critical for our future and improving free cash flow to reduce our debt levels and lower our leverage. Finally, as I step back and reflect on my years as the CEO of Entegris, I could not be prouder of what we have accomplished. Entegris is now one of the most recognized and trusted electronics materials companies in the world, known for its world-class innovation, its unwavering commitment to operational excellence and thoughtful capital deployment. But as much as I am proud of what we have accomplished, I am even more excited about where the company is headed, as Entegris fully capitalizes on the powerful platform we have built. Our expertise in material science and materials purity is increasingly valuable for our customers, to help them improve device performance and achieve optimal yields. The R&D investments we have made in material science and materials purity will be critical to the industry in enabling new device architectures and in reaching new levels of miniaturization. Because of the uniqueness of our value proposition and the quality of our execution, we expect to grow and outperform the market in the coming years. And of course, I am very excited that Dave Reeder will become the next CEO of Entegris. I could not think of a better leader to take Entegris to the next level of excellence. Dave has strong experience in our industry from years as a process engineer working in fabs around the world to his more recent leadership roles at Global Foundaries. Dave knows what shareholder value creation means from the various CEO and CFO positions he has held in different industries. And finally, there's a strong cultural fit which will ease its transition into his new role at Entegris. As Executive Chairman for the next year, my sole purpose is to support Dave. Together, we'll be visiting customers, our major sites and global teams, and I will be providing context today to Dave, as it develops a deeper understanding of our business. I know that Dave is eager to meet with all of you, and you will get that chance in the coming weeks. With that, operator, let's open the line for questions.
Operator: [Operator Instructions]. Our first question is coming from Melissa Weathers with Deutsche Bank.
Melissa Weathers: Bertrand, if this is your last Entegris earnings call, I wanted to say thank you for all the help, and congrats on the great career and well-deserved retirement. So first, I wanted to touch on the industry conditions that you're seeing in semis. It sounds like it's a pretty mixed environment, where some parts are good and some parts are still pretty weak. You called out weaker utilization in NAND and mainstream logic. So can you just give us a little more color on what you're seeing cyclically? And how should we be thinking about where we are in the cycle and what that could mean for growth in the second half?
Bertrand Loy: Yes, I think your words are correct, Melissa, in describing the current industry conditions, there are mix and the conditions are very similar to what we described at the end of Q1. We cited strong AI-related demand that impacted production levels in advanced logic and HBM fabs. But as I mentioned in my prepared remarks, I need you to remember that AI-related logic and HBM only represents less than 5% of wafer starts. So while those trends are exciting, from a volume of production, which is the primary driver for our business, that remains actually fairly small. So elsewhere, the fab utilization levels remain subdued, and that includes mainstream logic, traditional DRAM and NAND. So the end demand for these devices have been weak in the first half of the year. The only positive news on that front is that inventory levels have been trending back to levels approaching the pre-pandemic levels. And that means that we expect to see a sequential improvement in wafer starts through the balance of the year. So I'm not going to provide any quantification of those statements, but at high level, qualitatively for the year, we expect wafer starts to grow very modestly at best. As you referenced we believe that fab utilization rates are still currently in the mid-80%. So again, it's a slow improvement and we expect wafer start again to be modestly up at best for the full year. And then CapEx, we believe that will be flattish at best for the year, and that's a function of fab construction related CapEx that we expect to be down mid-single digit for the year and WFE, which will be up modestly for the year.
Melissa Weathers: Perfect. And then really quick on the China side, just because it was a pretty big topic on the last earnings call. Can you help us level set our models. Did your Chinese customers resume orders in the quarter? Did you see any pull-in activity? And how should we think about the trajectory of that China business going into the second half?
Bertrand Loy: Yes. So the China business certainly started slow in the first part of Q2 shipments and orders were essentially on hold. And then when the doors reopen, when tariffs were put on hold in May, then things started to accelerate. And we are pleased with what we saw in the second part of Q2. I mean, obviously, we generated a quarter that was up sequentially 8% in China, which is very good. Year-to-date, the China business is flat. And that's really a reflection of some of the higher-level trends I was mentioning. So some positive on the wafer start front, offset by some softness in the levels of CapEx spend in China in 2025. And going forward, we expect the -- again, assuming no new development in the trade policies, we expect a stronger second half in our China business.
Operator: Our next question comes from Bhavesh Lodaya with BMO.
Bhavesh Mahesh Lodaya: Solid quarter, but first of all, thank you for the leadership at Entegris you are not going far, but you will certainly be missed. And then certainly, congratulations and welcome to Dave as well. With respect to your guide for the third quarter, can you call out what scenarios you're building in for the lower or the higher end of the guide. I remember last quarter, there was some tariff-related impacts that you had built in. Are you building those in currently? Or are these just volume and industry-based assumptions.
Bertrand Loy: Yes. I think it's a mix of all of that, right? At a high level, it's a guidance at the midpoint that is up 1% sequentially, mostly driven by the more favorable wafer start environment that we expect going into Q3. The business momentum going into Q3 is strong but there are a number of realities that we need to take into account, right? I mean we mentioned the green shoots that we are seeing in mainstream, but let's recognize that we are in the very early stages of that recovery. We also recognize that the tariff uncertainty led to fairly erratic buying patents by many of our customers in the second quarter. And it's really hard to predict if it will have an impact or not on our Q3 revenue. And then more generally speaking, I think we are encouraged by the recent developments in the trade negotiations, but it's fair to assume that the tariff and the export policies will likely continue to be a factor in the second half of the year. And it's -- again, it's an impact that is very hard for us to quantify. So in that highly volatile environment, I think we are choosing to be prudent, and that's probably what you want us to be given the prevailing volatility around us.
Bhavesh Mahesh Lodaya: Got it. And then a follow-up on the China business discussion. How is the progress so far on the requalification process. Do you have a number to share as to how much of the U.S. to China business have been transitioned or maybe a time line that you're targeting to move that business to maybe Taiwan or Japan or some other regions?
Bertrand Loy: Yes. So we're making a lot of progress. It's been a very high priority within the organization, will continue to be a very high priority in the second half of the year. Our Asian customers agree with that strategy and they are already actively qualifying the various Asian manufacturing sites that we have, helping us again, leverage all of the investments we've made in local capacity in Taiwan, in Japan, in Korea and in Malaysia. So specifically, when it comes to China, we expect to end the year with about 85% of the China demand served from Asia manufacturing sites, and we expect to reach some number closer to 95% sometime next year. A lot of focus and a lot of work going into that, obviously, to try to make that happen as quickly as possible.
Operator: We'll go next to Jim Schneider with Goldman Sachs.
James Edward Schneider: I was wondering if you could maybe speak to the some of the margin headwinds that you talked about in the prepared script. Maybe quantify for us whether there was a significant impact on the reserve inventory, it sounds like you built in the quarter as well as maybe talk a little bit about the operational efficiencies that you noted in the script and to what extent are those going to kind of go away over the next couple of quarters? And when should we see those gross margin pressures abate?
Linda LaGorga: Thanks, Jim. I appreciate the question. So in the context of Q2 and some of the commentary, as we've talked about broadly in the context of this trade environment, Q2 was a quarter of change uncertainty and demand shifts from the customer. We started out the quarter with a higher tariff environment in China that then shifted and there are other examples of that. In this backdrop, it's just not truly conducive to optimizing gross margin perfectly. So on your question, we did make some decisions to optimize manufacturing production to manage inventory levels. This contributes to our free cash flow, and we'll continue to do this as we go into Q3 and Q4, but it does impact gross margin in the near term as we make those decisions. I think also importantly is to think about our business priorities. We remain very focused on our business priorities, and this leads to some of the inefficiencies of moving production to Asia to localize with our customers. We're ramping 2 manufacturing facilities, Taiwan and Colorado. Colorado is going to be coming online. And in the context of all this, we're balancing gross margin and inventory. Where I really want everyone to focus is longer term, our path to higher gross margins remains intact with more volume growth the ramping of the 2 large facilities in Taiwan and Colorado and our highly differentiated products, which we are very proud of, position us very well for higher gross margins going forward. So it's a very good story for the future.
James Edward Schneider: Understand. And then, Bertrand, relative to some of the end market commentary you made earlier on lagging edge and things like memory. Could you maybe give us some color on over the next few quarters and heading into 2026, some of the areas that have been under pressure in terms of volume such as man flash, such as drilling edge logic and analog. Can you maybe talk about which of those you think has the best chance of inflicting first of those 3?
Bertrand Loy: Yes. So I think this is something, obviously, that we're going to be watching very carefully in the quarters -- in the upcoming quarters. We are encouraged by the discussions we've been having with our mainstream customers. So I would expect that to be probably the areas where we start seeing the earlier signs of recovery, as I mentioned. And then I would expect that to start expanding to NAND probably not until next year and then DRAM as well, traditional DRAM.
Operator: And we'll take our next question from Charles Shi with Needham.
Yu Shi: Bertrand, once again, congrats on a very successful leadership at Entegris that you will be missed. Maybe I want to ask a little bit more about Q4. In your press release, prepared remarks, you talked about second half will be better than the first half. But from my view, it doesn't really set a very high bar for Q4. Directionally, may I ask, based on your current visibility, is Q4 going to be higher sequentially as in, let's say, typical seasonality or it can be lower. The reason why I asked this is that your largest customer in Taiwan is right now assuming kind of like a 10% Q-on-Q decline, just to be conservative ahead of the macro uncertainties such as Section 232 semi tariffs that which may come very shortly and want to gather some of your thoughts, given there seems to be a little bit of fog between now and Q4?
Bertrand Loy: Charles, so all good questions. I promised Dave Reeder, my successor to not provide Q4 guidance, so I need to honor that promise. But -- and you're right that one of the reasons it wasn't an easy commitment for me to make is that there is a lot of uncertainty ahead of us indeed. Having said that, as I mentioned, we expect to see strength in wafer starts. And then some level of recovery in certain segments of the industry that have been very, very soft for long periods of time. So that's number one. Number two, we also expect to see a number of node transitions in Q4 in NAND, with the adoption of moly and then in advanced logic, obviously. And that will have a positive impact on our materials platform as well as on our liquid filtration platform. So if you factor all of that in, I think that -- and again, well, I'm not going to risk a guess on what may be ahead of us in terms of trade policies, et cetera. But I think that in all likelihood, the second half of the year will be stronger for us in spite of the volatility and the external factors that you mentioned.
Yu Shi: Thanks, Bertrand. We definitely look forward to hear more about Q4 from David a little bit down the road. So maybe a I want to ask you a little bit of a high-level question. One, I think one very interesting. Maybe I wouldn't necessarily call it by versions, but some differential between your commentary about your mainstream customers versus what their comments are so far into this earnings cycle, especially from the analog companies is that you seem to be more seeing subdued non-AI market demand, but your customers, especially some of the analog companies are more and more confident or have, I would say, much higher conviction a cyclical recovery, they think is underway. So what could be causing a little bit differential, I mean, in between the terms of yours and theirs. And is it just a matter of conservatism? Is it just a matter of timing? They're seeing that you will see it a little bit down the road? Or do you not quite believe the cyclical recovery at this point of the time. Just want to have some high levels -- get some high-level thoughts from you?
Bertrand Loy: I think you're hearing very, very similar narrative. But the one thing that you -- and I know you appreciate is that some of those mainstream customers still have high levels of inventory. Some of them have gone through that digestion phase and are back already today at normal levels of inventory, but some are not. And -- but I expect that to continue to improve. And I think that customers are getting closer to building and shipping in line with the actual end demand. And I think that's positive. And I think we're going to see positive trends to our business as it relates to that. So I think there's a little bit of a disconnect between their revenue story. And what is actually happening in their fabs. And I know you know that what is driving our business is really the volume of productions.
Operator: We'll take our next question from Timothy Arcuri with UBS.
Timothy Michael Arcuri: Bertrand, I've known you for, I think, 25 years. So congratulations. I think you've done a great job over the years. So yes. So I guess on -- just on China, Bertrand, so my understanding was that there was a $50 million headwind and you were going to get, I thought, about half of that back. So can you just update that? Did you, in fact, get half of it back? And I think you expected to have the remediation of all of it by the end of the year. So is it all gone by December? Can you just give us some numbers on that?
Bertrand Loy: Yes. So I think we -- when it comes to Q2 specifically, we got most of it back. In terms of the remediation strategy, which is really largely having our China customers qualify a number of alternative Asian manufacturing sites. Going back to the answer I provided to an earlier question, we are making a lot of really good progress. We expect to be able to serve 85% of the China demand from those Asian manufacturing sites. Our goal was never to be at 100% by the end of the year, but we've made a lot of progress, and we expect that number to get to 95% next year. And I'm going to defer to Dave and Linda to provide more clarity. Needless to say that we're trying to get to that point as quickly as we can. And that has engendered a number of inefficiencies on the margin front, which is something that Linda has been flagging as well. So pleased with the progress. I think the team is very focused on it, and we're getting a lot of positive support from our customers.
Timothy Michael Arcuri: Okay. So you got almost all the 50 back. So basically, there is no more China headwind between June and September. Is that the right way to think about it?
Bertrand Loy: Based on what we know today, yes, I would say, yes.
Timothy Michael Arcuri: Got it. Okay. And then, Linda, just on gross margin. I mean, if I take the $800 million midpoint, it's still like 100 to 150 basis points below where gross margin was in the first half of 2024, yet in the interim, you've had selective actual debt chemistries and CMP slurries. These are definitely much, much better over that period, and these are quite high-margin products. So why are gross margins still under so much pressure? You keep talking about these inefficiencies and I mean, is this all Taiwan and Colorado? And will we get out from under this once these facilities are fully ramped. You keep talking about this long-term target, but it continues to be sort of under pressure every quarter. So if you can talk about that.
Linda LaGorga: Yes. I mean some of it is similar to what I have said, but let me add a bit more context for you, Tim, to help here. Again, as we went through the Q2 and some of this is going to continue in Q3 with the trade uncertainties and the uncertainties in the environment. Secondly, we are going to continue to work on the balance between our gross margin and our inventory levels. And so therefore, we're going to make some select decisions to reduce production in order to help bring down our inventory levels. And I do want to see the dollars of inventory progress downward as we go through the remainder of the year. And as you and I know, that does impact gross margins. And then as Bertrand and I both talked about, it has been a priority. Look, it's a part of the long-term strategy but it's a priority to continue to move more of our manufacturing to locally serve our customers. And as we do that in this context, there are some inefficiencies that come out until we get things moved over there. So those are some of the factors that we're seeing around gross margin right now. I think on the positive side, as we balance gross margin and inventory, it's a positive story for free cash flow, which is an extraordinarily important goal for us. And then longer term, volume is going to be key, ramping our facilities as we ramp up. And as we move into '26 as planned, we're going to see some mitigation of some of those inefficiencies and it's a very good long-term gross margin story as that all comes together.
Operator: And we'll go next to John Roberts with Mizuho.
John Ezekiel E. Roberts: Yes. Thank you as well, Bertrand, and welcome, also, Dave. Could you discuss any significant differences in sales direct to fabs versus your sales to equipment makers or chemical suppliers or via distributors? I mean, how are the different channels?
Bertrand Loy: Yes. So the fab revenue was up sequentially in the low single digits. As you would expect, the driving force was our logic business. Sales to equipment makers and engineering companies were down modestly quarter-over-quarter, which is in line with the narrative and the commentary I was giving on the soft industry CapEx environment. And I would just finally tell you that the sales to our chemicals and materials companies were also down mid-single digits, mostly a reflection of the weak demand from our wafer grower customers.
John Ezekiel E. Roberts: And then as you move more local for local in your manufacturing, what are the products that you can't really move into Asia for the Asia customers? What are you going to have to sell from the U.S. into Asia?
Bertrand Loy: I'm not really going to provide product specific detail around that strategy, John. But your question is actually a good one, an important one. I think that for us to justify investment in redundant manufacturing sites, we need to have enough volumes, right? And as you know, we produce and market a very, very broad number of SKUs. So in some cases, we're going to choose not to localize production and have the production either only in Asia or only in the U.S., and that may have an impact on the long-term potential of those product lines. Having said that, as you would expect, those products are not strategic and are not the products that we're counting on to continue to outperform the industry.
Operator: And our last question comes from Aleksey Yefremov with KeyBanc.
Aleksey V. Yefremov: Bertrand, wishing you all the best and Dave, congrats and best of luck. I actually have first question for Linda. What's your best guess when this inventory adjustment process would be over? And any number that you could put on the actual impact on gross margins that this process is having right now?
Linda LaGorga: Thanks Aleksey for the question. So I'm not going to quantify it because it's a balancing act. It's about optimizing gross margin and inventory. This is a very important working cap optimization, is a very important lever for free cash flow. We've talked about free cash flow this year. It's a real goal for us as an organization. We want to continue to improve our free cash flow. We want our free cash flow margin and what we're targeting this year is in the low double digits in 2025. And then over the next several years, we do expect our free cash flow margin to return even to the mid- to high teens percent to the prepandemic levels. So this inventory management is an important lever for that, and we'll continue to balance it this year.
Aleksey V. Yefremov: Okay. And Bertrand, do you see any specific signs of pull forward of demand among your customers? I mean it sounds like it's hard to really call what's pulled forward or not, but do you have any strong suspicions as to how much that could be in Q2?
Bertrand Loy: We've -- it's very hard to quantify and track Aleksey, we've been obviously asking that question repeatedly to our sales team. I'm sure that has been a factor, but I don't think it was a material -- a material impact to our Q2 results.
Operator: This does conclude today's question-and-answer session. I will now turn the call back to Bill Seymour for closing remarks.
Bill Seymour: Thank you for joining our call today. Please reach out to me directly if you need anything else, you may disconnect. Thank you.
Operator: Thank you. This concludes today's Entegris Second Quarter 2025 Earnings Conference Call. Please disconnect your line at this time, and have a wonderful day.